Operator: Good day, and thank you for standing by. Welcome to the Fourth Quarter 2025 Hubbell Incorporated Earnings Conference Call. At this time, all participants are in listen-only mode. After the speakers' presentation, there will be a question and answer session. To ask a question during the session, you will need to press star 11 on your telephone. You will then hear an automated message advising your hand is raised. To withdraw your question, please press star 11 again. Please be advised that today's conference is being recorded. How may I thank conference over to your first speaker today, Daniel Innamorato, Vice President of Investor Relations. Please go ahead.
Daniel Innamorato: Thanks, Operator. Morning, everyone, and thank you for joining us. Earlier this morning, we issued a press release announcing our results for the fourth quarter and full year 2025. The press release and slides are posted at the Investors section of our website at hubbell.com. I'm joined today by our Chairman, President and CEO, Gerben Bakker, and our CFO, Joe Capazzoli. Please note our comments this morning may include statements related to the expected future results of our company. These are forward-looking statements as defined by the Private Securities Litigation Reform Act of 1995. Please note the discussion of forward-looking statements in our press release and consider it incorporated by reference into this call. Additionally, comments may also include non-GAAP financial measures. Those measures are reconciled to the comparable GAAP measures, which are included in the press release and slides. Now let me turn the call over to Gerben.
Gerben Bakker: Great. Good morning, and thank you for joining us to discuss Hubbell's fourth quarter and full year 2025 results. Hubbell delivered strong financial results in the fourth quarter, highlighted by 12% total sales growth, 140 basis points of adjusted operating margin expansion, 19% adjusted operating profit growth, and 15% adjusted earnings per share growth. Organic growth of 9% in the fourth quarter was driven by double-digit organic growth in our Electrical Solutions segment as well as our Grid Infrastructure businesses within the Utility Solutions segment. Our core utility and electrical markets remain strong as data center build-outs, load growth, and aging infrastructure resiliency investments generate robust project activity in front and behind the meter. Hubbell's portfolio of critical components and solutions is uniquely positioned at the intersection of grid modernization and electrification megatrends. Strong recent sales and order activity, along with continued execution on our strategy, positions us well to deliver on an attractive outlook in 2026 and beyond.
Daniel Innamorato: Before I turn the call over to Joe to walk through our financial performance in more detail, I'd like to highlight a few key accomplishments in 2025. Starting with Electrical Solutions, we made significant progress in 2025 on our strategy to unify this segment to compete collectively. We generated above-market growth in attractive verticals with an integrated solutions-oriented service model for our customers, while simultaneously driving business simplification and operational efficiencies to expand margins. These efforts resulted in 7% organic growth and 14% adjusted operating profit growth for the full year. Additionally, full-year adjusted operating margins at HES reached 20% for the first time in history. In our Utility Solutions segment, while full-year organic growth was negatively impacted by metering and AMI markets, we delivered strong performance in the larger, higher-margin grid infrastructure businesses in our portfolio. Our leading positions in strong transmission and substation markets enabled double-digit growth for the full year, while distribution markets accelerated throughout 2025 as customer inventories normalized amid a healthy market backdrop. Over 80% of our HUS portfolio is aligned to electric T&D components and solutions, where our leading installed base and depth and breadth of product offering uniquely positions Hubbell to benefit from a highly visible long-term investment cycle. Importantly, we also continue to invest and allocate capital to high-return areas while further differentiating our unique service advantage with customers. Most notably, we closed on a high-growth and margin acquisition in DMC Power.
Gerben Bakker: We invested in automation and expanded production capacity in high-growth areas, repositioned our sales force to gain share in attractive vertical markets, successfully launched new innovative solutions, and we continue to be recognized and awarded by our customers for industry-leading service levels. We plan to continue investing in each of these critical levers of our long-term strategy to drive ongoing growth and productivity benefits in 2026 and beyond. Hubbell's 2025 free cash flow margin of 15% and return on invested capital of 19% are strong evidence of the quality of our business model and of our ability to invest on behalf of our shareholders to generate strong returns both now and over the long term.
Daniel Innamorato: Let me turn the call over right now to Joe to provide some more details on the financial results.
Joe Capazzoli: Thank you, Gerben. I'm starting my comments on slide five. Hubbell's fourth-quarter financial performance was strong, with double-digit growth across sales, adjusted operating profit, and adjusted diluted earnings per share. Net sales of $1.493 billion in 2025 increased by 12% as compared to the prior year, driven by 9% organic growth and acquisitions contributing 3%. Both Electrical Solutions and Grid Infrastructure products within our Utility segment delivered double-digit organic growth in the fourth quarter, an acceleration versus prior quarters driven by incremental price realization and stronger demand in data center and utility T&D markets. This strength was partially offset by continued softness in grid automation, though declines in this business have moderated relative to prior quarters. From an operational standpoint, we generated $349 million of adjusted operating profit and expanded adjusted operating margins by 140 basis points in the fourth quarter, which combined with strong sales growth generated adjusted operating profit growth of 19%. While cost inflation accelerated in the fourth quarter as anticipated, our pricing and productivity actions have been successful in more than offsetting these costs. Our strong positions in attractive markets and our execution in proactively managing our cost structure drove positive price-cost productivity in the quarter. Adjusted diluted earnings per share were $4.73 in the fourth quarter, representing a 15% increase versus the prior year and were driven by strong operating profit growth partially offset by higher interest expense associated with the DMC Power acquisition and a higher year-over-year tax rate. Fourth-quarter free cash flow generation of $389 million was strong to close the year. On a full-year 2025 basis, we generated $875 million of free cash flow representing 90% conversion on adjusted net income, which was in line with our previous outlook. Our balance sheet remains strong with net debt to EBITDA of 1.3 times exiting the year, which positions us well to continue reinvesting in our business and deploying capital for shareholders at high rates of return as Gerben just highlighted. Turning to page six to review our performance by segment, Utility Solutions delivered a strong quarter with double-digit growth in sales and adjusted operating profit. Starting with the top line, Utility Solutions generated net sales in the fourth quarter of $936 million, which represents growth of 10% versus the prior year and includes organic growth of 7% and acquisitions contributing 4%. Grid infrastructure, which as a reminder represents approximately three-quarters of the segment sales, was up 12% organically. Grid infrastructure strength was broad-based, with strong growth across distribution, substation, and transmission markets. Utility customers continue to aggressively invest in new transmission and substation infrastructure to interconnect new sources of load and generation on the grid, while aging infrastructure trends drove solid hardening and resiliency activity in distribution markets against easier prior year comparisons. Outside of T&D markets, telecom and gas markets experienced solid growth in the quarter. Grid automation sales were down 8% in the quarter as solid growth in grid protections and controls was more than offset by weaker new project activity in meters and AMI. Operationally, HUS achieved $235 million of adjusted operating profit in the fourth quarter, representing 20% growth in adjusted operating profit versus the prior year with adjusted operating margins expanding 200 basis points year over year. Operating profit growth was primarily driven by strong volumes and infrastructure, favorable price-cost productivity, and acquisitions partially offset by volume declines within grid automation.
Daniel Innamorato: Turning to page seven. Electrical Solution results were strong in the quarter, with double-digit growth in net sales and adjusted operating profit. For the fourth quarter, Electrical Solutions generated net sales of $557 million. Organic growth of 13% was driven by significant strength in data center markets and solid growth in light industrial markets, as well as strong price realization, partially offset by softer heavy industrial and nonresidential markets. Data center growth exceeded 60% in the quarter.
Joe Capazzoli: In addition to healthy end market dynamics, our data center performance in the fourth quarter was bolstered by targeted capacity investments in our balance of systems components as well as strong project activity in our modular power distribution skid. Overall, our vertical market strategy and commercial alignment initiatives as well as new product introductions continue to drive outgrowth in key markets. Operationally, HES delivered $114 million of adjusted operating profit in the fourth quarter, representing 18% growth in adjusted operating profit versus the prior year with adjusted operating margins expanding 60 basis points year over year. Operating profit growth was primarily driven by strong volumes, and favorable price-cost productivity in the quarter, including attractive returns from our ongoing restructuring investments. Before I turn the call back over to Gerben to provide our full-year outlook, I'd like to highlight on Slide eight some recent investments we've made in our HES segment, which are generating increased output in high-growth areas as well as enhanced productivity across our manufacturing footprint. Our Burndy brand is a leader in electrical connectors and grounding products across a wide range of industrial end markets, including data center markets where Burndy has strong specified positions with major customers who value our leading product quality and service levels. With the significant demand inflection we've experienced in high-growth verticals like data center, we've had the opportunity to leverage capacity expansion investments to reconfigure our production workflows and drive productivity through automation. The example on the page highlights our recent investment in four specialized enclosed automation work cells for copper lug production, where we've been able to combine six manual production processes into single-flow automated lines for high-running SKUs, reducing factory processing time from days to minutes for certain product lines and reducing manufacturing complexity. The end result of these investments is that we were able to increase output to serve strong customer demand while also driving productivity through reductions in labor and factory floor space.
Gerben Bakker: While this is one example of a major product line in one of our businesses, it demonstrates our ability to utilize CapEx investments to meet customer needs and drive both enhanced growth and margin expansion. This has been one of many critical components of our successful HES segment transformation strategy over the last several years, and we see further opportunity across both segments to invest in high-return growth and productivity initiatives within our factories. With that, I will turn the call back over to Gerben to provide our 2026 outlook. Great. Turning to page nine. We anticipate 5% to 7% organic growth across our portfolio in 2026. Similar to the preliminary view we provided in October, we anticipate broad-based strength across our largest businesses serving attractive utility T&D, data center, and light industrial end markets.
Daniel Innamorato: In Utility Solutions, we anticipate 5% to 7% organic growth for the full year. Transmission and substation demand remains strong, and we expect our leading positions in these end markets to drive continued success in converting on high-visibility project pipelines as utility customers invest in grid interconnections. Utility distribution activity is healthy, driven by both routine maintenance and systematic upgrades to aging infrastructure in order for customers to meet key outage and performance metrics.
Gerben Bakker: In grid automation, modernization initiatives targeted at delivering more insights and control capabilities in the field are expected to lead to continued strength in protection control solutions in 2026, more than offsetting a more modest outlook for meters and AMI markets.
Daniel Innamorato: In Electrical Solutions, we anticipate 4% to 6% organic growth for the full year, and similar to 2025, we expect growth to be led by data center markets, which now represent more than 10% of segment sales and are expected to expand mid-teens. While we expect nonresidential and heavy industrial growth to be more muted, industrial reshoring and electrical mega project activities are expected to drive continued solid growth in light industrial and renewable markets. Looking across our portfolio, we expect a strong year of organic growth in 2026, and we believe our largest, highest-margin end markets are still early in a multiyear highly visible investment cycle, which will enable attractive growth for the next several years and beyond. Concluding our prepared remarks on Page 10,
Joe Capazzoli: we are initiating our 2026 outlook this morning for 7% to 9% total sales growth, $19.15 to $19.85 of adjusted earnings per share, and approximately 90% free cash flow conversion on adjusted net income. At the midpoint of the range, this outlook anticipates approximately 10% year-over-year growth in adjusted operating profit driven primarily by strong organic growth and core operating leverage as well as wraparound contribution from the DMC Power acquisition. Operationally, we anticipate another year of margin expansion in 2026 as we are well-positioned to manage price and productivity to at least offset inflation, while also reaccelerating investment back into our business following a period of proactive cost management over the last couple of years. Our 2026 outlook is in line with our long-term financial framework, which we are confident will continue to deliver long-term value creation for our shareholders off of a strong multiyear base of performance. With that, let me turn the call over to questions and answers.
Operator: Thank you. At this time, we'll conduct a question and answer session. As a reminder, to ask a question, you will need to press 11 on your telephone and wait for your name to be announced. To withdraw your question, please press 11 again. Please limit yourself to one question and a follow-up. And our first question comes from the line of Jeffrey Sprague of Vertical Research. Your line is now open.
Jeffrey Sprague: Good morning, Jeff. Oops. Sorry about that. I was on mute. Good morning, everyone. There was a comment about orders in the prepared remarks. I'm sure that's contemplated in your revenue guide. Can you just give us a little bit more color on what you're seeing in orders, kind of the complexion across the business? And one of the things I am wondering about is just the strong load growth and CapEx you're seeing. Is that negatively impacting MRO activity kind of in the core legacy business? Or is that sort of chugging along at a normal rate?
Gerben Bakker: Yep. Let me maybe start with a general comment on orders, Jeff. And certainly, the recent momentum has been strong. And as we talked on our last call, we started to see this inflection in our order book in, like, the September time frame and particularly in the areas of T&D and data center. You know, as a reminder, we are primarily a book-to-bill business. But in that, you know, the order strength over the fourth quarter really drove our organic sales growth. So it wasn't, you know, working through backlog or anything. This was reflected in the actual orders that we saw. And I mean, I would say even exiting the year, that was very positive, and we've even built a little bit of backlog at some of our businesses like the T&D business. That order momentum going into '26 has continued. So I would say this visibility together with what we know are favorable end markets provides us confidence for '26. Now, of course, you know, being a book and bill business, our visibility doesn't extend throughout the entire year. We do have a few businesses where we're fully filled with backlog. But the majority of the business being book and bill, you know, we need to see how the year unfolds with that. But I would say it's off to a good start ending the year and starting this year. And, you know, particular to your question of CapEx with OpEx, and that's a question related to, you know, our utility and infrastructure business. As you see those percent, there's clearly, you know, a very strong inflection in the CapEx. It's very hard to say because a lot of the materials that we supply, Jeff, are fungible to whether, you know, the same materials go into CapEx that go into OpEx as well. What we are seeing shorter term, there's a lot of investment right now going into generation. And I would say, you know, that too falls within the general budgets that we have. And, you know, our exposure, of course, is less in generation, but that said, you know, what we see in transmission and substation, what we see in distribution, it's certainly very supportive of our long-term framework and positive going into '26. And then just on meters and AMI, I thought we might be done talking about it declining in the third quarter, but, you know, we're still heading south. I see you don't have any real expectation of note through 2026. But, I mean, is there something else going on with that business? Or is it just that total lack of project activity? We know the backlogs are completed, but any other color there?
Gerben Bakker: Yeah. It's a little bit what you said, Jeff. It's, and as we work through '25 and, you know, as we communicated, we're still working through that large project backlog and, you know, through a lot of '25. We actually consumed backlog as we did that. What we haven't seen return is a lot of those larger projects. So the business right now is more, you know, smaller project, more replacement product, is evidenced for us when we see the book to bill at one or close to one that we're kind of have stabilized that business off this lower base. You know, I'd say the good part with that is we're now working off of this lower base, and we do expect, you know, from here on, to modestly grow that business. Now, of course, if you compare that to last year where throughout the year that business declined, you know, we have some comps to lap here, you know, in the first quarter. But if you think about it sequentially from here, I would say it's really at the bottom. And for here, it should start to grow modestly.
Jeffrey Sprague: Right. And maybe just one other quick one, if I could. Just kind of you're indicating maybe Q1, right, a little bit tougher. Are you suggesting Q1 would be sort of outside the recent normal of sort of 19% to 20% of the year?
Gerben Bakker: Yeah. I think the interesting part on Q1 is a little bit the comps. I think for us, the better way always to look at this is year over year. And from that perspective, it will, you know, be a very strong quarter if you compare to, you know, how we started last year. But I think if you think about the year in total, it's a fairly normal year. So I think in the kind of things that the percentage that you're thinking about. Now, you know, the only thing I would say in percentage is to not use that as the sole factor because those things, as you will do your models, are very, very sensitive to a tenth of a percentage point. But you're in the right. There's really nothing specifically to highlight of '26 that as we think throughout the year. Great. Thank you very much. Appreciate it.
Operator: Thank you. One moment for our next question. Our next question comes from the line of Julian Mitchell of Barclays. Your line is now open. Julian, your line is now open.
Julian Mitchell: Good morning, Julian. Okay. Sorry about that. I think I was maybe muted. So, maybe, just to start off with, could you help us understand on the margin front, I think the guide is embedding maybe 50 basis points of operating margin expansion for the year for the total company. Maybe help us understand if that's correct. And how we should think about that sort of playing out through the year? And is it weighted to any one segment of the two?
Joe Capazzoli: Yeah. Good morning, Julian. Yeah. I would say that you're thinking about that level of margin expansion is about right. Like Gerben had mentioned, thinking about the way that our 2020 is kind of taking shape in terms of a bit of a normal let's say, seasonal head and shoulders type shape. You know, from 1Q. We peak in 3Q, come back down in 4Q. That's still higher than one. I think that's a good way to think about it.
Julian Mitchell: And, Julian, I would just I would say maybe just from a timing perspective, we anticipate investing roughly $15 million to $20 million of restructuring this year. I think you'll probably see that a little front-end loaded. Maybe you see a third of it come through in the first quarter. And I'd probably also highlight our tax rate tends to be a little higher in the first quarter as well.
Julian Mitchell: I understand. And so just to sort of follow-up a little bit on that first quarter point. Should assume organic sales growth is sort of front-loaded a little bit because of comps. And then in light of what you just said on the sort of BTLs and so forth, are we thinking sort of first quarter is about 20% of the year's EPS, that type of typical cadence?
Joe Capazzoli: Yeah. I think, Julian, we'll see a strong start to the year from an organic perspective. And Gerben highlighted that. So I think you'll see nice 1Q year-over-year growth.
Julian Mitchell: Got it. And that sort of 20% share of the year for EPS is roughly sensible?
Joe Capazzoli: Yeah. I would say on that, you know, be careful with using this percentage. As I said, to Jeff's earlier question, those tend to be very, very sensitive in tens of a percentage point if you do that math. I wouldn't use that as the sole determinant of a first quarter rather. Think about the moving parts.
Julian Mitchell: Got it. Thank you.
Operator: Thank you. One moment for our next question. Our next question comes from the line of Chris Snyder of Morgan Stanley. Your line is now open.
Chris Snyder: Thank you. I wanted to follow-up on some of the margin commentary. So as you said, to Julian's question, maybe the guide calls for about 50 bps up in '26 at the midpoint. But, I mean, is it fair to think that Q1 would be well ahead of that level? I know it's always Q1 is always the lowest margin quarter of the year, but the comp a year ago just seems much easier in Q1, relative to Q2 to Q4. So just kind of any color on that.
Joe Capazzoli: Yeah. I think we are anticipating, you know, solid margin expansion throughout the year, including the first quarter. And so I think, again, we're anticipating the momentum that we're carrying out of the fourth quarter positions us well to start the year. And maybe adding to that, and it was asking earlier question as well, the margin expansion we expect in not only the company, but in both segments. Thank you. I appreciate that. And then if I could just follow-up on price. I believe you guys pushed some incremental price during the quarter in Q4. So could you provide any color just on how price shook out in Q4? And then any expectations that that's, you know, underwriting the guide for '26? And if you could share anything around the wrap versus the incremental '26 action. That would be helpful. Thank you.
Joe Capazzoli: Sure. So you're right to highlight that we did have some incremental price actions that were implemented in the fourth quarter. And I think we highlighted previously we were anticipating about three points of price for the full year. And that's consistent with what we saw come through. Certainly, that will have some wraparound impact. That will carry price into 2026. We'll also carry some cost inflation into 2026. And I think consistent with how we've been managing price-cost productivity, and again, consistent with our guide, we're anticipating neutral to positive on that front.
Operator: Thank you. Thank you. One moment for our next question. Our next question comes from the line of Steve Tusa of JPMorgan and Chase. Your line is now open.
Steve Tusa: Hey, guys. Good morning. Hey, Steve. How are you? Just on the flip side of that question, what let I know, you know, FIFO, kind of, changes things, but, like, what is your current assumption on raw materials prices? Are you guys just taking what the spots are today and then kinda running that through? Are you assuming some sort of average, some forecast? Like, what what are you assuming for kind of the underlying metals pricing, acknowledging it's not as big of a swing factor the near term as it used to be?
Joe Capazzoli: Sure, Steve. Good morning. And, yeah, we're we've been watching and the materials, the metals prices, you know, very closely. And we did see some creep coming out of the fourth quarter with higher copper, aluminum, steel. And we're anticipating maybe more broadly, metals and other inflation, we're anticipating about mid-single digits for cost inflation in 2026. And our price actions and productivity is to address that level of cost inflation that we're expecting. Certainly, you know, we'll manage as the year progresses, but similar to levels of inflation that we addressed last year. I think that's how we're thinking about 2026.
Steve Tusa: And is that inflation, based on what price level, like, at year end? Where we are today? Like, what does that inflation assume for the actual price levels?
Joe Capazzoli: Yeah. It's in and around, you know, where we exited the year. Which again, you're kinda coming out of the fourth quarter. We saw some rise metals prices. That's kind of continued a little bit here in January. And we'll continue to keep our finger on the pulse with how they move and what we're doing on the price and productivity side. Okay. And then one last quick one on this on this first quarter question. Did you mean that like the 20% or whatever the guys talked about earlier, that that we're not that first quarter should be better than that? Or like, I I'm having trouble kinda reading the tea leaves whether you know, better than the 20% or a little bit less than the 20%. Of the year for one QPS? What we said, Steve, was we get off to a strong start from an organic growth and margin expansion perspective. I think, again, if you're looking at percentages the year, it can be very sensitive. So if you just look at how we exited '25 from a revenue perspective, that's good to think about seasonally. From a year-over-year margin perspective, we'd expect expansion. Right? So Yeah. I wouldn't necessarily be thinking about that number is higher.
Steve Tusa: Okay. So okay. Thank you.
Operator: Thank you. One moment for our next question. Our next question comes from the line of Joe O'Dea of Wells Fargo. Your line is now open.
Joe O'Dea: Hi, good morning. Thanks for taking my questions. Can you talk a little bit about first half versus second half growth in grid infrastructure? And in particular, the transmission and substation side versus the electrical distribution side. And trying to get a little bit of color around electrical distribution comps, what you think kind of that underlying growth rate is in the back half of the year when the comps adjust? And then in addition, just what the backlog looks like on the transmission and substation side and visibility that you have into something like high single digit, low double digit throughout the year versus kind of stronger first half? Over second half?
Gerben Bakker: Yeah. I would say if we think about those markets, clearly, you know, we're optimistic about the investments that are going. And I would say on the transmission and substation, that's been growing in these high single, low double digits for a while and that's how we continue to see that unfolding. You know, in distribution, you know, that was strengthening throughout last year. Right? That's why we said earlier in the year, we're still somewhat challenged with by that growth, but that we expected that to come, and we did see that come. So you think about that, it partially drives, of course, the better comp, easier comps earlier in the year to later in the year. But fundamentally, about these markets, you know, think about the substation and transmission in the kind of high single digits and distribution. Mid-single digits for '26 is the right way to be thinking about that. Okay. And then on free cash flow, it looks like maybe you shake out in a range of kind of $900 million to $1 billion for the year.
Joe O'Dea: You know, just how you're thinking about the spend opportunity there, with respect to the M&A pipeline, appetite on share repo, just how we can think about your approach to some pretty good free cash generation?
Joe Capazzoli: Sure, Joe. So we're yeah. You're right that we're thinking about $900 to $1 billion of free cash flow next year. And I think 2025 was a really good year of deploying capital to a combination of high-quality, you know, CapEx program. Our M&A was rather successful with three deals that roughly $950 million deployed. And we also layered in some share repurchase over the course of 2025. So with that level of cash flow we're anticipating next year, I think we would think about deploying in a similar fashion. To the extent that there's attractive bolt-on M&A that fits very complementary to our portfolio. And I think with that level of cash flow, we would probably think about supplementing with some more share repo as well. So I think going into the year, that's how we would think about it. The deal pipeline, maybe, Gerben, you can comment on that. But looks pretty good to start the year, but a lot still has to come together on the M&A front to be more specific.
Gerben Bakker: Yep. Yep. And I think as we think about the return, CapEx continued to be highest return project followed by acquisitions. And I would say as far as acquisitions, that pipeline has bolt-ons in it. It has some larger deals in the timing. You know, as we always say, it's very, very hard to predict. But focused on the areas where we clearly have the right to play and right to win. So, you know, think about T&D markets, think about, you know, some of the core electrical markets. It's where we focused on. So you know, I feel good in our ability to continue to deploy capital, but we will remain very disciplined. And we see dividend and share repurchases as good alternatives in periods where that acquisition pipeline is perhaps or the execution on that pipeline is a little bit lower?
Operator: Thank you. One moment for our next question. Our next question comes from the line of Nigel Coe of Wolfe Research. Your line is now open.
Nigel Coe: Thanks. Good morning, everyone. Want to follow-up on Steve's question on the cost inflation side, 6% on COGS, I think, is the metric. If you just break that down, between, you know, sort of your the metals and raw materials, which I think is about 25% of your COGS, if I'm not mistaken, and then maybe components and then other COGS. I'm wondering, is that 6% a gross number, or would that be net of productivity?
Joe Capazzoli: Yeah. You have the cost pie split about right. You know, half of the cost pool is materials, which includes metals and components. And about half of that cost pool is or a quarter is more on the metal side. So that's about right. The mid-single digits that we're anticipating for total inflation on our total cost pool is not net of productivity. Price and productivity would be outside of that to manage that mid-single digit cost pool. And, Nigel, I'd probably also highlight what we saw about a similar level of inflation, you know, total inflation in 2025. Mid-single digits. And, again, that was managed, you know, effectively with price and productivity levers throughout the year.
Nigel Coe: Okay. Maybe my you know, as part of my follow-up, if I could maybe just clarify, is there additional price actions, you know, in the plan in the first quarter to address that? Does the wraparound price address that? But just a quick follow on really on the data center growth. I think you said mid-teens, which know, mid-teens isn't shabby, but certainly seems to be a bit below where the market's trending in '26. So just wondering you know, what gives you sort of informs the mid-teens view?
Joe Capazzoli: So I'll start with the wraparound price. And yes. So we're anticipating wraparound price and modest incremental price to start the year. As we typically have first-quarter price increases roll through. And those are in motion and having conversations with customers. On the data center side, we highlighted 60% data center growth in the fourth quarter. I think that was roughly 40% growth for the full year in data center. And data center for us kind of discreetly, the way we describe that is more on the electrical side. And that's coming from two places primarily. One is our modular power distribution skid business. And that side of the business had a pretty heavy project load throughout 2025, which really drove a lot of those strong year-over-year growth rates from '25 versus '24. They're anticipated to continue a heavy project load in 2026. So those growth rates in '26 versus '25 will step down a little bit. And then we certainly have our connectors and grounding products, which also service data center and continue to grow nicely. So to start the year, we feel really good coming out of '25 on data center. And we're looking at that, you know, mid to high teens on our outlook for data center on the electrical side.
Gerben Bakker: Yeah, maybe add. A good part of that business is short cycle, right? Think about Burndy Connector. So, you know, the visibility isn't out there that last year was a good year. And I would say it's a good example that we show where we're adding capital. We're expanding. And if that proves out to be conservative, we'll do better this year. But we'll serve that demand.
Nigel Coe: Yep. Okay. Understood. Thanks.
Operator: Thank you. One moment for our next question. Our next question comes from the line of Chad Dillard of Bernstein. Your line is now open.
Chad Dillard: Hey, good morning, guys. I want to on your price cost through the year. So how do you expect that to trend? What's baked into your guidance? And then can you just remind us of the total tariff impact in '25 versus '26? And what is AEDPA versus February?
Joe Capazzoli: Yeah. Price cost throughout 2026, it's a little hard to, you know, to kinda pinpoint or walk back quarter to quarter. We certainly anticipate as the year progresses, we'll see more inflation kind of settle in. And we would certainly anticipate between our price and productivity actions, they continue to ramp throughout the year. And so we're confident that we'll navigate that equation of managing price cost productivity to neutral or better throughout the year. And we don't anticipate a tremendous amount of lumpiness. Tariffs is a that's certainly, I think we said we said in the 2025, there's roughly we saw about $150 million worth of tariff and related, you know, cost. And over the 2025, we manage that number down a little lower than the $150 million level. And there really haven't been a whole lot of changes in tariff rates, you know, recently. Obviously, that can change at any point in time. Feel like we're managing that very effectively at the moment. And we're ready to react and respond if there's large changes in tariffs going forward.
Chad Dillard: Gotcha. That's helpful. Tim, just a second question for you. It sounds like there's, you know, larger transmission projects that are in the wings over the next, like, couple of years. And you guys have talked about, I think, 85% of the polls to Hubbell. If we just, like, zoom in on, like, the transmission portion alone, what does that look like, and how should we think about the TAM opportunity problem?
Gerben Bakker: Yeah. Certainly. I would say it's an area of strength. And if you look at our portfolio, I would say our portfolio is very similar, whether you're talking distribution or whether you're talking transmission and substation in the percentage of materials that we provide on it now. While we provide a very large percentage of the material, the cost tends to be low because of the nature of this component. And that speaks to the really, the strength of our portfolio where, you know, the quality of that and the service of that is extremely important. But it represents a lower percentage of the cost. So it's a really good position that price is not the first leading indicator there to compete rather some of these other ones. But these markets are very strong, and, you know, the visibility is further out on it. You're right to point out some of these projects go into, you know, '26, '27 NBO, the scale and scope of these both in length of a project of miles and in voltages of it. We very much participate in it. So our position is quite good in this market, and the markets are strong. So I'd say well-positioned.
Operator: Thank you. One moment for our next question. Our next question comes from the line of Scott Graham of Seaport Research Partners. Your line is now open.
Scott Graham: Hey. Good morning. Thanks for taking the question. On Aclara, I know that I think we generally stated earlier and, you know, the calls that, you know, there was supposed to be sort of a bottoming maybe in the fourth quarter and now it seems like, you know, maybe it's at the bottom going forward. I'm just wondering, was there business there that you walked away from perhaps, you know, repositioning it? And, you know, what is really the long-term portfolio fit here?
Gerben Bakker: Yeah. Maybe I'd say there's not nothing specific to point out of business we walked away from, but what we have talked about in the past is that this business has traditionally served munis and coops really well. And, you know, a few years ago, we made a, you know, quite large investment in the technology to also be able to serve large IOU. And the technology is just a little bit different in those utilities. That proved to be, you know, harder. Both projects were being delayed during the COVID period of time, but even the adoption of that technology at large IOUs proved more difficult. So we did, you know, a pivot last year. We reshaped that business a little bit. We took a lot of cost out of that business to really continue to focus it on, you know, the market where we have a really strong position. And, you know, I think that business could do really well in that market that we're focused on. So that's really our focus for that business right now. You know, it's a quite small percentage of the overall utility business. If you look at it, it's about half of the grid automation business. And I would say the rest of the portfolio, the other half of that grid automation business as well as the grid infrastructure business, is very attractive margins and very attractive growth. So I'd look at this as, you know, a business that we expect to do better, that we expect the margin to improve from here going forward. It fits the portfolio. But that said, you know, we continue to look at our portfolio. It's what I said before. So at this point, though, that's the path that we're on for this business.
Scott Graham: That's very helpful. Thank you. I very much appreciate that. You made a comment about a number of your divisions being, you know, early in a multiyear investment cycle. I obviously, I think we know most of those. But I wanted to maybe just focus on substation, which has been a great business for you for some time now. Is that one of the businesses where you think it's still early? And why? And if I may also say, how much of that business's growth has been sort of aided by data centers? If you could.
Gerben Bakker: Yeah. Very, very attractive. Yeah. That's a great question. So the short of it is we're very well positioned. We've historically been well positioned. But if you look at some of our recent acquisitions, if you look at Systems Control, that's very much in that space. If you look at DMC that we just acquired, very much in that space. So we're growing our continue to grow our scale and scope of the products we offer in there. And I would say attractive area without data center but clearly aided by data centers right now as well. And so, you know, it's sometimes it's very specific. A data center will be, you know, putting up the infrastructure and then put the substation right next to it. And I would say those are very directly related. But utilities are investing a lot of this to just interconnect more power throughout the countries, and that requires a lot of substations. So it's very sometimes very hard to pinpoint is it specific or not today. So But the space is very attractive, Scott. Yes. And we're very well positioned in it.
Scott Graham: Yeah. And the substations themselves, the infrastructure itself is pretty old still. Right?
Gerben Bakker: Absolutely. Absolutely.
Scott Graham: Thank you.
Operator: Thank you. One moment for our next question. Our next question comes from the line of Tommy Moll of Stephens. Your line is now open.
Tommy Moll: Good morning and thank you for taking my questions. Hey, Tommy. Morning, Tommy. It sounds like the market conditions for your electric distribution business are somewhat normal now. I think you mentioned channel inventories seem normalized. I'm curious for any more detail you can give us there just given some of the uncertainty we go back say, a year ago, and when we look at the mid-singles guide you provided for this year, should we think of that as an accurate reflection of the underlying demand, or is there a little bit of help from perhaps a restock? In that number? Thank you.
Gerben Bakker: Yeah. I would say maybe start with the last one. It's an accurate reflection of the end demand. You know, clearly, last year, we still saw that destock and, you know, I'm glad to stop talking about destock because it, you know, it lasted way too long at first with, you know, distribution and with end customers. Not going homogeneous, different, you know, different parts of the region, different customers going at different rates there. But we're through there, and I think that the best indication that we saw that early in the year starting to reflect with orders. Then later in the year, we started to see it by actually shipping and the book to bill stay in at that level. So we really feel confident that we're through that. What we didn't see, though, is customers, both details and distributors over pivot that. So what didn't happen is that they actually ran those inventories way, way down too far down and that they had to restart our conversations with our customers are what were days they were targeting, how were they coming to get into those days, specifically in distribution, and there was not an overshoot to that. So I'd say indicative of demand, Tommy.
Tommy Moll: Yep. Thank you, Gerben. Perhaps this is indeed the last quarter we'll have to address this topic. I hope so. A follow-up question for you on M&A. It sounds like the pipeline is still pretty full. There have been a number of pretty high-profile transactions in your space, several of which you've been involved in, where you've been able to acquire at pretty reasonable multiples despite some of the impressive growth in the out years. So I'm just curious from where you sit today, does it still feel like that's gonna be possible in the year ahead, or how would you characterize seller versus the buyer expectations here? Thank you.
Gerben Bakker: Yeah. Yeah. I mean, what you point out, clearly, multiples have gone up over the last. I mean, we were buying companies not too long ago in the single-digit multiples, and that's clearly increased. But you're pointing out the correct the returns on those businesses are still very good for us because the growth rates have gone up. Those are more attractive businesses. We do really well with those. When there are businesses that what we call right down the fairway, the bolt-ons, even some of the larger ones, you know, the synergies that we can get out of those businesses, the complementary growth that we can out of it, it's, you know, we're very good buyers of those businesses and can generally get more out of them probably than the average or acquired because it scales with the rest of our portfolio. So, you know, any one deal, you know, depending on the competition for it could, of course, be an outlier. We do see the entire pipeline. I can tell you that even though we don't always own every business that goes through this process, it's not because, you know, we didn't see it coming. Right? There's different reasons at times where we don't end up owning businesses. But we're very active in it. And I would say kind of the multiples that you see, I would say, is about where we continue to see pricing right now. Not higher, not necessarily lower.
Tommy Moll: Thank you, Gerben. I'll turn it back. Yeah.
Operator: Thank you. One moment for our next question. Our next question comes from the line of Brett Linzey of Mizuho. Your line is now open.
Brett Linzey: Hey, good morning. Just back to the outlook and specifically the non-res heavy industrial piece you're planning for continued softness this year. Exits rates appear to be pretty soft in Q4. How do we think about those markets in the context of the mega project momentum you noted in the prepared remarks? Are those just longer duration or, you know, any color would be great?
Joe Capazzoli: Yeah. I think we've seen non-res and heavy industrial have both been flattish, you know, low growth for the last couple of years. And we're not really seeing tangible signs of meaningful acceleration there, which is kinda consistent with what you saw us lay out on our '26 revenue outlook. I think for us, we see mega projects really impacting our light industrial business. And light industrial and data center has been a source of strength over the last couple of years. So I think that's probably where we're seeing it more so is on the light industrial side. Cautious on non-res and heavy. And, again, when we start to see that come through more tangibly, I think we feel better about the outlook on those markets.
Brett Linzey: All right. Understood. And then just one quick follow-up on the price cost productivity equation. So the payback on the $15 million to $20 million of restructuring is that contemplated within the netting? Or should we think of the associated savings as maybe some cushion as those paybacks convert through the year?
Joe Capazzoli: Yeah. Those paybacks tend to convert through the year. And, you know, discreetly, start an action and they're typically two to three-year paybacks. They're quite attractive. And our history, the last several years, has been investing a similar amount, you know, $15 to $20 million a year. So we have some really nice momentum from all the initiatives that we have rolling. So think about them, like, in the year, they're kinda self-funding with from prior actions. We're investing for the future. Those future projects have two to three-year paybacks, and there'll be nice tailwinds for next, you know, for '27, '28, and beyond. And we see a horizon with really attractive ongoing R&R opportunities. It's tough to do a lot of them, you know, at a single time because they can be, you know, complicated. They can be, you know, there's some risk associated with them, but we've been managing them very thoughtfully, and that's contemplated in our Appreciate the detail.
Operator: Thank you. One moment for our next question. And our next question comes from the line of Alexander Virgo of Evercore ISI. Your line is now open.
Alexander Virgo: Yes, thanks very much. Good morning, gents. I wonder if you could just pick up a couple of small ones for me. DMC coming in, in 2026, I think you talked about it being in line with prior expectations. But I'm just wondering about the benefits of margin accretion from the deal versus cost to integrate and if you could give us any color on that? And then on HES, it looks like XDC, the business kind of built to a decent mid-single-digit exit to the year. The implication in the guide, I guess, is that that perhaps inverses somewhat in the back half. I'm just wondering if there's anything specific you're baking in there or if it's just a bit of caution on lack of visibility and whether there's anything that you got in there in terms of new product contribution to growth that can help offset that. Thanks very much.
Joe Capazzoli: You know, first, I think. Yes. So on the I'll take the DMC margin. DMC was with us for basically a full quarter in the fourth quarter. Their sales and their margin was right in line with our expectations and what we had previously communicated. And our outlook contemplates $130 million of revenue and roughly 40% operating margins, which is net of integration costs. So no change in how we were thinking about DMC and communicating that coming out of the fourth quarter. To start the year. We're very excited about what DMC adds to the portfolio. On the HES side, with the fourth-quarter exit rate, that fourth quarter was pretty heavy with data center projects. And so we would anticipate, and we have good line of sight, to data center projects throughout the duration of 2026. And so I think what you would see on electrical is nice year-over-year growth rates as we progress through the year. And naturally, with such a strong '25, you'd see that year-over-year when we get out to '6, for electrical that that'll shrink a little bit because of that surge in 04/2025 dynamic.
Alexander Virgo: Perfect. Thanks very much.
Operator: Thank you. I'm showing no further questions at this time. I'll now turn it back to Daniel Innamorato for closing remarks.
Daniel Innamorato: Great. Thanks, everybody, for joining us. We're on all day for calls. And follow-ups. Thank you.
Operator: Thank you for your participation in today's conference. This does conclude the program. You may now disconnect.